Operator: Ladies and gentlemen, we’d like to thank you for standing by and welcome to the Darden Restaurants fourth quarter earnings release teleconference call. (Operator Instructions) I would now like to turn the conference over to your host, Mr. Clarence Otis. Please go ahead, sir.
Matthew Stroud: Good morning. This is Matthew Stroud. I’m going to kick off the call this morning. With me today are Clarence Otis, Darden's Chairman and CEO; Drew Madsen, Darden's President and COO; Brad Richmond, Darden's CFO; and Gene Lee, President of Darden's Specialty Restaurant Group. We welcome those of you joining us by telephone or the Internet. During the course of this conference call, Darden Restaurants’ officers and employees may make forward-looking statements concerning the company’s expectations, goals, or objectives. These forward-looking statements could address future economic performance, restaurant openings, various financial parameters, or similar matters. By their nature, forward-looking statements involve risks and uncertainties that could cause actual results to materially differ from those anticipated in the statements. We wish to caution investors not to place undue reliance on any such forward-looking statements. Any forward-looking statements speak only as to the date of which those statements are made and we undertake no obligation to update such statements to reflect events or circumstances arising after [such date]. The most significant of these uncertainties are described in Darden's Form 10-K, Form 10-Q, and Form 8-K reports, including all amendments to those reports. These risks and uncertainties include the impact of intense competition, changing economic or business conditions, the price and availability of food, ingredients, and utilities, supply interruptions, labor and insurance costs, the loss of or difficulties in recruiting key personnel, information technology failures, increased advertising and marketing costs, higher-than-anticipated costs to open or close restaurants, litigation, unfavorable publicity, a lack of suitable locations, government regulations, a failure to achieve growth objectives through the opening of new restaurants or the development or acquisition of new dining concepts, weather conditions, risks associated with Darden's plans to expand Darden's newer concepts, Bahama Breeze and Seasons 52, achieve synergies and develop new Longhorn Steakhouse and The Capital Grille restaurants, risks associated with incurring substantial additional debt, a failure of our internal controls over financial reporting, disruptions in the financial markets, possible impairment of goodwill or other assets, volatility in the market value over derivatives and other factors and uncertainties discussed from time to time in reports filed by Darden with the Securities and Exchange Commission. A copy of our press release announcing our earnings, the Form 8-K used to furnish the release to the Securities and Exchange Commission, and any other financial and statistical information about the period covered in the conference call, including any information required by Regulation G, is available under the heading Investor Relations on our website at darden.com. By way of information, we plan to release fiscal 2010 first quarter earnings and same-restaurant sales for fiscal June, July, and August 2010 on Tuesday, September 29th after the market close. We released fourth quarter and fiscal year earnings yesterday afternoon. These results were available on PRNewswire, First Call, and other wire services. Let’s begin by updating you on our fourth quarter and fiscal year earnings. Fourth quarter net earnings from continuing operations were $122.8 million and diluted net EPS from continuing operations was $0.87, representing a 21% increase in diluted net earnings per share from continuing operations. This includes the integration costs and purchase accounting adjustments related to the October 2007 acquisition of RARE Hospitality International Incorporated, which reduced diluted net earnings per share by approximately $0.03 in the fourth quarter of fiscal 2009, and approximately $0.06 in the fourth quarter of fiscal 2008. Excluding the estimated integration costs and purchase accounting adjustments, net earnings from continuing operations for the fourth quarter of fiscal 2009 were $0.90 per diluted share, or 15% increase from prior year. On an annual basis, we reported net earnings from continuing operations of $371.8 million, and diluted net EPS from continuing operations of $2.65, representing a 4% increase in diluted net earnings per share from continuing operations. This includes the integration costs and purchase accounting adjustments related to the RARE acquisition, which reduced diluted net earnings per share by approximately $0.10 in fiscal 2009 and approximately $0.19 in fiscal 2008. Excluding estimated integration costs and purchase accounting adjustments, net earnings from continuing operations for fiscal 2009 were $2.75 per diluted share, which was up $0.01 to prior year. Fourth quarter diluted net earnings per share, including discontinued operations, were $0.87 compared to diluted net earnings per share of $0.71 in the prior year. And on an annual basis, diluted net earnings per share, including discontinued operations, were $2.65 compared to $2.60 in the prior year. Brad will now provide additional detail about our financial results for the fourth quarter and our fiscal year. Drew will discuss Olive Garden, Red Lobster, and Longhorn Steakhouse. Gene will discuss the specialty restaurant group. Brad will then review our fiscal 2010 plans and he will be followed by Clarence who will have some final comments, and we will then respond to your questions. Brad.
Brad Richmond: Thank you, Matthew and good morning. Darden's total sales from continuing operations increased 8% in the fourth quarter to $1.98 billion, driven by new restaurant sales growth at Olive Garden, Longhorn Steakhouse, Red Lobster, and an additional operating week. The additional operating week increased sales growth by almost 7 percentage points in the fourth quarter. Let’s review the same-restaurant component of that total sales growth. As a reminder, our same-restaurant sales results are calculated on a 13-week versus 13 basis, while total sales results are calculated on a reported basis or 14-weeks versus 13 weeks. For context, industry same-restaurant sales as measured by Knapp-Track and excluding Darden are estimated to be down 6.7% for the quarter. Olive Garden's same-restaurant sales were down 0.6% for the quarter and total sales increased 11.5%. Red Lobster also had a same-restaurant sales decrease of 0.6% for the quarter and its total sales increased 6.8%. Longhorn Steakhouse same-restaurant sales decreased 6.5% for the quarter, while its total sales increased 6.5%. The Capital Grille had a same-restaurant sales decrease of 22.1% for the quarter and its total sales decreased 9.9%. Bahama Breeze had a same-restaurant sales decrease of 4.3% for the quarter and its total sales increased 7.6%. What these numbers demonstrate is that in a difficult environment, relative to the industry as measured by Knapp-Track, our three large brands performed very well regarding same-restaurant sales with Olive Garden and Red Lobster outperforming the Knapp-Track benchmark by an estimated 600 basis points and Longhorn exceeding the industry by an estimated 20 basis points. When you combined these same-restaurant sales with our total sales growth excluding the 53rd week, we are taking significant market share and as I’ll explain in a moment, we’re doing so without sacrificing profitability. But first, let’s discuss the margin analysis for the fourth quarter. Here too we are comparing our year-over-year results on a reported basis, or 14 weeks versus 13 weeks. The additional week leverages restaurant expenses, selling, general, administrative expenses, and depreciation expenses as some of these expenses are incurred or amortized on a monthly or 52-week basis. So let’s begin by reviewing our results for the fourth quarter. Food and beverage expenses were 86 basis points lower than last year on a percentage of sales basis as a result of reduced food costs. As you may remember, commodity costs were peaking 12 months ago and we have benefited from declining prices in the second half of this fiscal year. Fourth quarter restaurant expenses were 9 basis points higher than last year on a percentage of sales basis due primarily to wage rate inflation, which was almost entirely offset by reduced turnover levels and decreases in group insurance and other benefit costs. Restaurant expenses in the quarter were 59 basis points lower than last year on a percentage of sales basis because of sales leveraging from the additional operating week, favorable workers compensation and public liability costs developments, and lower utility costs. Selling, general and administrative expenses were 73 basis points higher as a percentage of sales for the fourth quarter because of increased media and marketing expense related to Red Lobster’s lunch advertising, Olive Garden's national Spanish language television advertising, and expenses associated with certain employee benefits that are hedged on an after-tax basis, although the additional expense is offset by related reduction in income tax expense for the quarter. There were asset impairments in the fourth quarter for the closure of one restaurant, and an impairment of three others, including the two specialty restaurants, Hemenway’s Old Grist Mill, that were part of the RARE acquisition. We were under contract to sell those two restaurants in the near future. Now, the annual impairment charge includes impairments in previous quarters of non-restaurant operating assets that were in the G&A line, which now appear in the fiscal year total impairment line. The effective tax rate for the fourth quarter is 26.5%, was below our previous guidance due to the after-tax benefit hedging I just mentioned. Turning to the fiscal year, Darden's total sales increased 8.9% in fiscal 2009 to $7.22 billion, driven by a 4.2% increase due to new restaurant openings and the additional operating week, which added almost two percentage points of growth rate for the year. On an individual operating company basis, Olive Garden same-restaurant sales increased 0.3% and its average unit volumes were $4.8 million, well above those of any other nationally advertised full-service restaurant brand. Red Lobster had a 2.2% same-restaurant sales decrease for the year and its average unit volumes were $3.8 million. Longhorn Steakhouse same-restaurant sales decreased 5.6% and its average unit volumes were $2.8 million. The Capital Grille same-restaurant sales decreased 15.5% and its annual average unit volumes were $6.8 million. And Bahama Breeze same-restaurant sales fell 6.0% and average unit volumes were $5.5 million. For comparison, same-restaurant sales as measured by Knapp-Track casual dining benchmark excluding Darden were down an estimated 5.6% for our fiscal year and as we know, erosion was more significant at the premium end of the industry. We think both our outperformance on same-restaurant sales and high average unit volumes demonstrates that Darden has a strong portfolio of brands that is capable of remaining healthy in the current period of economic weakness and positioned to be even stronger as the economy recovers. In fiscal 2009, Olive Garden opened 38 net new restaurants; Longhorn Steakhouse opened 16 net new restaurants; Red Lobster opened 10 net new restaurants; and The Capital Grille opened 5 net new restaurants; while Bahama Breeze and Seasons 52 each opened one net new restaurant. For the year, we repurchased $145 million of our shares. In the last five years, we’ve purchased over $1.42 billion of our stock, which speaks to the significant cash flow we generate on a consistent basis. We have 10.3 million shares remaining in our current repurchase authorization. In fiscal 2010, our focus will be on further strengthening our balance sheet and preserving the financial flexibility to respond to challenges and opportunities that may emerge as a result of the current economic weakness. This fiscal year, we will be opportunistic when it comes to share repurchase, basing our activity on the economic environment, company sales trends, and industry dynamics. Our approach is that should we track to the higher end of our sales and earnings expectation, we are likely to be buying shares in the second half of the year. Alternatively, share repurchase is likely to be relatively limited the entire year should we track to the low-end of our sales and earnings range. Finally, despite our bias towards capital preservation, our cash generation remains very strong so yesterday, we announced an increase in our dividend to $0.25 per share payable on August 3, 2009 to shareholders of record July 10, 2009. Previously we paid a quarterly dividend of $0.20 per share, or $0.80 per share on an annual basis. Based on the $0.25 quarterly dividend declaration, our indicated annual dividend is $1 per share, an increase of 25%. And now, I’ll turn it over to Drew to comment on Olive Garden, Red Lobster, and Longhorn Steakhouse.
Andrew H. Madsen: Thanks very much, Brad. As Brad just mentioned, Olive Garden delivered competitively strong performance once again in the fourth quarter despite wrapping on a very strong year-ago period. During fiscal 2010, the key strategic priority for Olive Garden remains unchanged, and that’s to sustain accelerated new restaurant growth while also maintaining same restaurant excellence. We plan to open approximately 20 to 32 net new restaurants this fiscal year and ultimately we believe the brand has the potential to operate 800 to 900 restaurants in North America. Importantly, the combination of their value leadership position in casual dining, plus compelling promotions that feature exciting new culinary dishes and strong value offers will enable them to maintain strong industry outperformance in same-restaurant sales throughout the year. Red Lobster also delivered competitively strong same-restaurant sales during the fourth quarter and now has either equaled or exceeded the Knapp-Track industry average for 17 of the last 19 quarters. During fiscal 2010, Red Lobster will continue their brand refresh efforts designed to further broaden appeal, increase same-restaurant sales, and strengthen unit economics. Key initiatives include new dishes that leverage the wood fire grills installed last year, a new advertising campaign that more fully communicates the improved Red Lobster guest experience, and expansion of their successful Bar Harbor remodel program. More specifically, Red Lobster plans to remodel approximately 50 restaurants this year and accelerate the pace of remodels in subsequent years. In addition, they will temporarily slow new unit growth and open three to five net new units during fiscal 2010. Advertising will feature exciting new wood fire grill dishes, as well as increased emphasis on value and affordability throughout the year. Longhorn same-restaurant sales were slightly ahead of the industry benchmark during the fourth quarter. Importantly, they have meaningfully improved their performance relative to the Knapp-Track average, from a gap of approximately minus 1 percentage point during the first half of fiscal 2009 to plus 1 percentage point during the second half. During fiscal 2010, Longhorn will continue their increasingly focused transition from a roadhouse to a steakhouse. This will include better aligning all of their key guest touch points from the new advertising campaign introduced last March to a new menu design and elevated service levels that are more consistent with a steakhouse experience. Longhorn also plans to remodel an additional 30 to 35 restaurants, starting with the Atlanta market, which has some of the older restaurants and strongest roadhouse brand image in their system. We’ve chosen to slow net new unit growth at Longhorn from 16 net new units in fiscal 2009 to roughly 10 to 12 net new units in fiscal 2010. These units will be focused on sites with the strongest value creation potential and better position the brand to expand the number of restaurants supported by television advertising in fiscal 2011. During fiscal 2010, Longhorn will benefit from 213 restaurants receiving advertising support compared to 179 restaurants in the first half of fiscal 2009 and 186 restaurants in the second half of fiscal 2009. Their advertising will feature compelling new culinary dishes and occasional value offerings while also helping to build a more consistent brand image. We are certainly pleased with the financial performance and the strategic progress these brands have made in a difficult economic environment and we believe we are well-positioned to once again deliver another year of competitively superior performance. And now Gene will discuss the three brands in our specialty restaurant group.
Gene Lee: Thanks, Drew. The specialty restaurant group’s three brands remain focused on capturing market share by delivering exceptional dining experiences, developing effective sales building initiatives, and continuing to strengthen the business models. Let’s take a quick look at the status of each brand. The Capital Grille is a proven brand with a strong employee culture that delivers an exceptional, personalized dining experience. The current macroeconomic environment has been particularly difficult for premium steakhouses. Steep declines in business travel and entertainment spending have led to significant demand destruction. The Capital Grille's sales performance strongly correlates with the erosion in U.S. hotel occupancy that start accelerating in calendar fourth quarter last year. Throughout this period, The Capital Grille teams have remained focused on delivering best-in-class service and culinary execution, both of which are a competitive advantage for the brand. The Capital Grille was recognized for the distinct service and culinary expertise as readers of Consumer Reports magazine gave them the highest score of any steakhouse chain in America. Actually, Capital Grille received the highest score across all full-service restaurants. The brand is focused on strengthening relationships with guests by building customer relationship management capabilities to help their teams further personalize the guest experience. The team is also leveraging their culinary expertise to provide value to guests in unique ways by still delivering on the brand promise. Capital Grille successfully opened two restaurants in the fourth quarter in Boca Raton, Florida, and in the Time Life Building in New York City. They plan to open three restaurants in fiscal 2010. In the fourth quarter, Bahama Breeze outperformed the casual dining same-restaurant sales benchmark by 240 basis points. More importantly, the brand significantly elevated the guest experience as measured by their guest satisfaction surveys. In February, the company successfully opened a smaller, more efficient prototype in Wayne, New Jersey, that’s exceeding sales and return expectations. In fiscal 2010, Bahama Breeze will focus on expanding their market share as they leverage the escape nature of the brand. They will do this through beverage news, strengthening the brand’s value proposition, and continued operational focus. The team will open one restaurant this fiscal year in Jacksonville, Florida. Seasons 52 continued to deliver strong unit volumes in the fourth quarter despite the challenging environment. In March, the team opened their first restaurant outside the brand’s footprint in the Southeast in Cherry Hill, New Jersey, and it is exceeding hurdle requirements. The restaurant design improves operating efficiency and creates flexible private dining space while reducing the initial investment. Seasons 52 team will open two to three restaurants in fiscal 2010. Now I’ll hand it back to Brad for the fiscal 2010 financial outlook.
Brad Richmond: Thank you, Gene. In fiscal 2010, we are basing our combined same-restaurant sales growth for Red Lobster, Olive Garden, Longhorn Steakhouse, between minus 2% and flat. This includes approximately 2% of pricing for fiscal 2010 and our assumption that together, traffic and mix changes will be negative. While the macroeconomic and industry trends that these assumptions are based on could be better than what we built into our plans, we believe our plans are appropriate, given the weakness and the uncertainty we’ve seen in the current consumer environment. Of course, we will be both above and below this assumed range from month-to-month and quarter-to-quarter, depending on promotional calendars, holiday shifts, and changes in consumer sentiment, which as you know has been volatile for much of the past 12 months. In fact, there are two quarterly holiday shifts you should be aware of this fiscal year. The Thanksgiving holiday, while our restaurants are closed, will fall in our fiscal second quarter in 2010, while it fell in the fiscal third quarter in fiscal 2009. And the start of Lent, which is when Red Lobster begins its signature and historically strong Lobsterfest promotion, will shift to our fiscal third quarter in fiscal 2010, moving from fiscal fourth quarter in 2009. These holiday shifts will have a meaningful impact on quarterly same-restaurant sales results, pressuring the second and fourth quarters and supporting the third quarter. Looking ahead to unit growth, the new restaurant plans we outlined mean that we expect a net new restaurant increase of approximately 50 to 55 restaurants, or about 3%. Given our same-restaurant assumptions and new restaurant plans, we anticipate that total sales change for the year will be minus 1% to plus 1%, comparing to the as-reported fiscal 2009 sales of $7.22 billion, which includes the 53rd week. That extra week was worth approximately 2 percentage points of sales in fiscal 2009. With less unit development in fiscal 2010, we expect capital spending to be lower than fiscal 2009 levels. We anticipate it to be approximately $450 million to $475 million, which compares to $535 million in fiscal 2009. Fiscal 2010 includes approximately $25 million in additional remodel spending. Approximately $25 million of capital spending remains on our new restaurant support center. In fiscal 2009, approximately $95 million of our capital spending was attributable to our new restaurant support center. You should know that the incremental expense of building our new restaurant support center is offset by various state and local tax credits and incentives and the previous sale of our current support center that made the net cost to build the new offices relatively minor. Looking at operating profit margins from continuing operations, we expect restaurants to range from a margin contraction of approximately 10 basis points to a margin expansion of 50 basis points on a full-year basis compared to fiscal 2009. We expect to see substantial benefit from food and beverage expenses in the first half of the fiscal year as we experienced lower year-over-year costs on many of the commodities we use, but we anticipate higher restaurant labor expenses because of same-restaurant sales deleverage. The remaining line items, restaurant expenses, selling, general, and administrative expenses, and depreciation expenses, are expected to be relatively unchanged. The incremental acquisition synergies and our other cost initiatives and favorable sales mix changes we experienced because of Olive Garden's expanding share of our overall business should contribute to lower food and beverage expense as a percentage of sales. As we’ve discussed, we have many of our products contracted through the end of calendar 2009, so we have about six months of full visibility on our costs, which I will detail shortly. There is less visibility beyond calendar 2009 in part because some commodities will continue to experience cost erosion should economic weakness persist, and we want to be in a position to benefit from that decline. In terms of specific food items, total seafood prices for fiscal 2010 are expected to be lower than fiscal 2009 as global demand has softened. Seafood accounts for approximately one-third of Darden's total cost of goods sold. Category by category, Shrimp is our highest volume protein and we have coverage through the second quarter of fiscal 2010 at prices lower than fiscal 2009. Crab is contracted or purchased at prices lower than fiscal 2009 with coverage through September of 2009. And we currently have lobster usage contracted or purchased through January 2010 at favorable prices to last year. Beef prices are lower on a year-over-year basis and we’ve extended our coverage from September of 2009 to January of 2010, depending on the cut and all those at lower prices than fiscal 2009. Chicken and poultry prices are slightly higher on a year-over-year basis and we have contracted our usage through December 2009 at prices slightly above our fiscal 2009 costs. Wheat prices are lower on a year-over-year basis. We have contracts taking us through the summer for our bread products and contracts on our pasta products that expire in May of 2010. We expect that bread contracts will be renewed at prices favorable to what we are experiencing currently. Energy costs are expected to be lower on a year-over-year basis at least through the calendar year. We have some coverage of natural gas and electricity in the de-regulated markets in which we operate, and we’ll be opportunistic about adding additional coverage. Turning to labor, as I mentioned, we anticipate that labor costs as a percentage of sales will increase due to sales deleverage and modest wage rate inflation this fiscal year. We believe that restaurant expenses as a percentage of sales will be flat to slightly higher than the prior year because of sales deleverage. We anticipate that selling, general, and administrative expenses as a percentage of sales will be slightly higher than the prior year. This is because of sales deleverage and deferred spending from fiscal 2009. Again, we will also expect to generate solid cash flows, which we’ve done consistently since we became a public company in 1995 and to use these to pay our increased dividend and strengthen our balance sheet. We expect to pay out approximately $140 million in dividends to shareholders, an increase of almost $30 million from fiscal 2009. Finally for fiscal 2010, we expect our tax rate to be approximately 25% to 26%, which is favorable to the 27.5% in fiscal 2009, although this will vary by quarter, depending on the timing of certain tax events. With the new fiscal year, we will return to reporting only GAAP financial results as we now have a full year of comparable revenue and cost results. This will improve the clarity of our communications and eliminate the need to reconcile the non-GAAP disclosures. With our same-restaurant sales assumption and new restaurant growth plans, we anticipate reported diluted net earnings per share growing from continuing operations of minus 2% to plus 8% in fiscal 2010, compared to diluted net EPS of $2.65 in fiscal 2009, which includes approximately $0.06 of benefit from the additional operating week. Excluding the benefit of the additional week, we anticipate reported diluted net earnings per share growth from continuing operations of 0% to 10% in fiscal 2010, compared to diluted net EPS of $2.59 in fiscal 2009. As you might expect, there will be some quarterly variability in diluted net earnings per share in fiscal 2010 that mirrors the sales variability I previously discussed. Overall, the most important point is that we remain confident our results will be competitively superior in what continues to be a challenging environment. And now Clarence has some final comments.
Clarence Otis: Thanks, Brad and I’ll be brief because I know you’ve got a lot of questions but what I would say is that in many respects, really fiscal 2009 I think is our finest year. I mean, obviously some of the most challenging times we’ve seen in our economy and in our industry and despite that, we had very, very solid financial performance. And that performance is because we were able to get ahead of some deteriorating conditions very quickly, aggressively managing our costs and driving our traffic and we did that smartly, we think, protecting our people, our profitability, and the long-term health of not just our brands but also our business model. And so we think we are well-positioned to succeed in tough times but also our performance gives us confidence that we are going to emerge an even stronger company and we’ll have wider positive gaps to industry benchmarks, whether that’s sales or earnings. As we look ahead, our plans for fiscal 2010, as we’ve said a few times, reflects our assumption that economic and industry conditions are going to remain difficult. And we know many of you are more optimistic than that and we certainly hope that you’re right but we think it’s prudent to plan this way and that’s because it’s easier for us to gear up in response to better-than-planned conditions than it would be for us to make changes to address weaker-than-planned circumstances. The lower end of the sales and earnings per share ranges we’re providing are consistent with that approach but you should know that if we see some economic improvement, including some stabilization in employment levels, then the upper end of the sales and EPS range we’re providing is certainly achievable. In either case, we’re going to manage our business with a relentless focus on guest satisfaction and on maintaining or reducing costs wherever possible while still making the investments that we’ve got to make in order to have long-term success. As we’ve said before, we have a portfolio of brands that are proven and that collectively have a very strong long-term sales and earnings growth profile. We’ve got scale and all the advantages that scale brings and we’ve made changes in how we work so that our scale works even harder for us -- changes that also helped us limit the earnings erosion as sales softened this past year, fiscal 2009. And then finally, we’ve got some great teams, some outstanding teams in our restaurants, in our restaurant support center. These teams are working to successfully navigate the current environment, doing a great job of that but beyond that, they are working to create a great company. All of us are focused on creating again, in good times and bad, a company that is a leader in the full-service restaurant industry now and for generations. And with that, we are prepared to take your questions. Thank you.
Operator: (Operator Instructions) Our first question comes from the line of Jeff Omohundro of Wachovia. Please go ahead.
Jeff Omohundro - Wachovia: Thank you. Referencing Drew’s remarks on Red Lobster, the shifting emphasis to value and affordability, is this a messaging change or will there be something more significant occurring at the menu at that concept during 2010? Thanks.
Andrew H. Madsen: Just to clarify my comments there, the overarching goal for Red Lobster this year is to continue their brand refresh, continue to broaden appeal, but we know it’s a very value-sensitive environment where affordability is a major concern in general and the higher your check is, the more of an opportunity is for brands in particular, and Red Lobster has taken steps to be able to augment their brand building messaging with more affordability and specific value messaging, so their quick catch lunch program that started late in the second half this year would be an example of something that they would be using more consistently this fiscal year.
Jeff Omohundro - Wachovia: And do you see a need to respond to the more aggressive couponing, discounting and messaging around that within a mid-scale at that concept?
Andrew H. Madsen: Well, we have three broad filters for when we think about our promotion plans and discounting and Clarence touched on these -- we want to make sure that anything we do in that area contributes to profitable sales growth, maintains the integrity of our business model, and maintains the integrity of our brands going forward. And as we look at what we did in fiscal 2009, all of our brands, Red Lobster included, maintained their competitive level of outperformance of the industry in same-restaurant sales and so we don’t see a -- as well as contributing to broadening the appeal of their brand, so we don’t see a need to dramatically change what we did in the advertising and promotion side. In fact, we’re not sure that would be the best thing for our brands long-term in any event.
Operator: The next question comes from the line of Matthew DiFrisco of Oppenheimer. Please go ahead.
Matthew DiFrisco - Oppenheimer: Thank you very much. Clarence, I just wanted to get a little clarification on your guidance with respect to -- you said that you are being somewhat conservative here but can you comment a little bit on did trends get worse as far as June or the underlying consumer trends you’re seeing? And could you put that in context with what we lapped a year ago with the influence from the rebate checks? Are you seeing as we get through the end of June the rebate checks having potentially less of an effect than they may have had in the beginning of May?
Clarence Otis: I would say that we are not going to comment specifically on June but if we look at our fourth quarter, so March, April, May, each month was roughly about the same. I mean, when you look at the industry, May was slightly weaker but a lot of that I think had to do with the rebate checks year-ago. It was hard for us to get a real handle on what the contribution was. We talked at that time that maybe it added about a point to the comp side. Year-ago June, I don’t know that we saw a whole lot for rebate checks because June was also the month where gas prices spiked north of $4, and so I think whatever positive effect stimulus checks may have had, it was offset by that year-ago. And so as we think about the next 12 months, we are looking at what we’ve seen the last three to six, which has basically been sales at about the same levels, really. I mean, there’s a little bit of variation from month-to-month but that hadn’t changed all that much and so that’s what we are looking at as opposed to any deterioration in June. I think when you look at our brands, May, Red Lobster would have continued to outperform at about the level that it’s been outperforming at. Olive Garden, there was a little bit of shrink but a lot of that is just because they had such a strong year-ago May where I think they were up 11% on a same-restaurant -- oh, I’m sorry, up 11 percentage points versus Knapp-Track which was fairly significant and it’s comp was about 11%.
Matthew DiFrisco - Oppenheimer: Okay, and then also can you give us a little detail as far as what are you seeing regionally? There has been some industry commentary that Florida may have rebounded. Are you seeing any of that disproportionately recovering faster than say the rest of the country, or California particular as well?
Clarence Otis: I’m going to let Brad answer that one because I haven’t see the numbers as recently as he has.
Brad Richmond: I’d say just broadly when we look at it in terms of absolute performance versus year-ago, the weakness still continues in the western part of the United States, the Pacific Coast and Arizona, Nevada. The stronger areas continued to be on a year-over-year basis the upper Midwest, kind of through that area and in the mid-Atlantic. If you look at how it’s trending from quarter to quarter, there’s not a whole lot of change. You specifically asked about Florida. You are seeing a little bit of improvement there but nothing significant. Probably the more notable one, and I mentioned this last time, was that Texas, which continues to be strong, but it’s trending down there as well. I think that’s the more notable trends that we see.
Operator: The next question comes from the line of David Tarantino of Robert W. Baird.
David Tarantino - Robert W. Baird: Good morning. Just a quick clarification question on the overall cost outlook for 2010. I was wondering if you could share what the overall net cost inflation or deflation might look like for the year when you add up all the components?
Brad Richmond: Well, if we look really just at the food area, if you will, we probably actually see a deflation on a year-over-year basis somewhere in the 1% to 2%. If you are talking about through the entire P&L, which includes wage rates and rents and other those, we do see those moving up still in that 2% to 2.5%, so if you kind of blend all that together, it’s a net inflation that’s probably approaching 1%.
David Tarantino - Robert W. Baird: And just a follow-up to that, I know you have pricing of 2% offset that or more than offset that type of inflation -- is there opportunity beyond the pricing to get some of the cost savings to flow through so that you can push that net inflation or deflation number down a little bit when you include the cost savings?
Brad Richmond: Yeah, I think we are continuing a number of our cost initiatives, particularly in say the first quarter and maybe into September. Our big effort in the past year, what we call business strengthening initiative, that will help us in the first quarter to continue to reduce the costs and when we start lapping on some of that strong improvement, so the opportunity to go further than that is much more limited, although there are some things that we are still pursuing. So if we try to look at on a net cost pressure, if you look historically, forget the prior year, we’ve been able to get generally close to 50 basis points off of that inflation number and we would try to get something close to that again this year as well.
David Tarantino - Robert W. Baird: Okay. Thank you very much.
Operator: The next question comes from the line of John Glass of Morgan Stanley.
John Glass - Morgan Stanley: Thanks very much. I wanted to go back to the Olive Garden performance in May and I understand the tough comparison issue but historically, you’ve had a pretty strong gap to that Knapp-Track average of 5 or 6 percentage points and it narrowed pretty substantially in May, understanding that everyone probably faced some tough comparisons. So how do you know you are not losing share specifically at that brand versus more active value promotions? And can you maybe in talking about that, talk about how you do -- do you plan on approaching value somewhat differently at Olive Garden next year to protect that gap in that value proposition?
Clarence Otis: Well, as we look at -- you referenced Olive Garden's same-restaurant sales outperformance to the casual dining industry, which is certainly true and if you look at the last four years, our fiscal 2006 through 2009, the year we just completed, on average Olive Garden exceeded Knapp-Track by 5.5 points. If you look at our fourth quarter a year ago, it was about 6.4 points in March, about 5.7 in April, so pretty much online but it jumped almost 12 points in May, so the fact that it was more than six full percentage points above what it’s been averaging over the last four years led us to expect some erosion in our gap to Knapp, if you will, in this most recent month of May, which was about -- I think it was about two points. Yeah, just about 2 percentage points, so still meaningfully superior but not to the same levels. But it didn’t surprise us because of that 12-point gap last May. As we look forward for Olive Garden, the value leadership position that it enjoys already, the breadth appeal that it enjoys already, and a very meaningful value offers that it’s already been able to incorporate into its marketing plan over the last couple of years, we wouldn’t foresee a meaningful change to that and we think it will continue to allow Olive Garden to outperform and maintain its brand identity and integrity.
Brad Richmond: And I would just say if you look at our performance benchmarked against Knapp-Track, so if you look at blended comp for the three large brands against Knapp-Track, I think our gap increased in the second half of the year compared to the first half of the year, even as the promotional activity intensified. So we are pretty comfortable with where our brands stand. Again, baked into each of our brands is everyday value. I mean, it’s part of the reason why they have the strength that they have and we also we think have done a good job historically of having a range of promotional activity that goes from premium offers to value offers, and so we don’t know that that was necessary for us to do anything additional, especially at the expense potentially of long-term brand and business model health.
John Glass - Morgan Stanley: That’s very helpful. And then in your guidance, you suggested there were some deferred costs in ’09, particularly in SG&A, that you have to kind of work back this year. Can you remind us or quantify that? I seem to remember like $0.15, there was some near-term cost-savings in ’09. Does that come back in 2010 or are you just saying you can’t save an additional $0.15, so that’s why SG&A --
Clarence Otis: It’s more of the latter. We don’t see that we can save that much additional as we go into 2010 but what we also did in 2009 is we did defer some investment that would strengthen our foundation as we try to move forward. We saw 2009 is not quite that opportunity to make those investments pay back in the near-term, and so we still have those and as we see an opportunity with environment in 2010, we would make those because as we’ve demonstrated for quite some time now, the ability to grow our sales, to have the high absolutely unit volumes that we have and to continue to grow our gap to the benchmark, we would make those investments. So we are looking for more of the opportune time to do that. That’s part of the deferred spending, if you will, that we’re talking about.
Operator: The next question comes from the line of Jeff Bernstein with Barclays Capital.
Jeff Bernstein - Barclays Capital: Great. Thank you. First as a follow-up on the cost savings thoughts, I think you guys had previously mentioned that it was going to be in the $31 million to $39 million range for fiscal ’09 in terms of cost-saving opportunities. I know you had previously talked about the $55 million related to RARE. I’m just wondering if you could talk in a little bit more depth about the opportunities or the magnitude of the cost-saving opportunities in fiscal 2010, whether you can classify it in a couple of buckets and kind of what magnitude we should expect lapping the $30 million to $40 million I guess in fiscal ’09?
Clarence Otis: Good point there, Jeff. Let me break those down into two pieces. As it relates to the acquisition cost synergies, we did this year capture for the entire year about $45 million. We still look at the annual run-rate of $55 million that we talked about previously as where we are and we expect to realize that as we look into fiscal 2010, so that part of our element gives us roughly $10 million of incremental savings year over year and we talked back in January at the investor analyst meeting that we had then about what we call our business strengthening initiatives and we talked about that being able to get us last fiscal year $31 million to $39 million in savings. We were in the middle to upper end of that range and that really got started in late September last year, so we do see the opportunity to add a little bit to that, probably in the mid-single-million dollar range in the first quarter of the new year. And then just a part of our ongoing process, we look to minimize costs as well but we don’t see that as being a significant opportunity in 2010.
Jeff Bernstein - Barclays Capital: You’re probably looking at an additional $10 million from the acquisition of synergies and then another mid-single-digit from the business strengthening as compared to kind of the mid-30 or high-30 million range you saw in fiscal ’09?
Clarence Otis: That’s correct. We’re talking about the year-over-year growth there, yes, the $10 million from synergies and mid-single million dollars on our business strengthening initiatives.
Operator: The next question comes from the line of Mitch Speiser of Buckingham Research.
Mitch Speiser - Buckingham Research: Thanks very much and on the topic of discounting or I guess incremental discounting, it sounds like Darden did not go that route. Can you give us an update on what you are seeing in the industry? Have you seen any changes in the level of promotional activity in discounting? And then I have a follow-up.
Clarence Otis: I’ll start. I think we’ve seen a little bit of pull-back in the last few weeks. Our sense, as we try to figure out the situation is we don’t know that a lot of the folks who did discounting got much for it, from a traffic perspective and so we have seen a little bit of pull-back from some of the more significant offers.
Mitch Speiser - Buckingham Research: Got it. And separately, just on media rates, can you give us an update on where they stand and do you view it as just more bang for the buck or will you perhaps let some of that savings flow through to the bottom line? Thanks.
Clarence Otis: We think the up-front market, which won’t be finalized for another month or so, will probably be flat to slightly down versus last year and so it’s not going to be a material change but strategically, we’d be looking to maintain what we think are very effective media waits and media plans already and any meaningful savings would be redirected.
Operator: The next question comes from the line of Brad Luddington of Keybanc Capital Markets.
Brad Luddington - Keybanc Capital Markets: Thank you. Actually, a majority of my questions have been answered. I just wanted to do a quick follow-up on the discounting aspect. I just want to clarify -- I mean, you’ve done a great job of stressing I think the value of your brands versus going the discount route and that’s still the approach you are planning on taking in fiscal ’10?
Clarence Otis: Brad, that is -- I mean, we have -- as you know, a -- we have a calendar where we’ve got features throughout the year at both -- at all three of our large brands and with those we try to be pretty balanced between value features, features that are pretty much at core menu margin levels, pricing levels, and then for appropriate times of the year, we even have premium features like Lobsterfest, for example, in Red Lobster’s fourth quarter which was again very successful, even as a premium feature in this environment. And so we expect to continue to be balanced. I mean, tactically we will make changes around the edges in terms of do we stress or not stress a price point, do we add or subtract a week at the margins, but those are the kinds of decisions that we have to make every year.
Brad Luddington - Keybanc Capital Markets: Okay. And then just briefly, are there any scheduled debt payments or anything we should expect significant on that avenue throughout fiscal ’10?
Brad Richmond: Our next maturing debt is in August of 2010. There’s a $150 million note due there and then the following April is a $75 million, so we have some time to deal with that. We also have our revolver, which has $700 million of capacity there and you can see from our release there, we don’t have very much of a draw on that, so should we need to, we can roll that into the revolver but we’ll be opportunistically looking for an opportunity to go back into the debt markets probably later -- late in this fiscal year or early in the next fiscal year would be my best guess at this point.
Operator: The next question comes from the line of Larry Miller of RBC Capital Markets.
Larry Miller - RBC Capital Markets : My questions were answered. Thank you very much.
Operator: The next question comes from the line of John Ivankoe of J.P. Morgan. Please go ahead.
John Ivankoe - J.P. Morgan: Great, hi, thanks. You know, I guess just given the real estate market and all that we’re hearing out there in terms of prices and opportunities of higher quality sites, I just want to take your temperature in terms of whether we might expect to see Olive Garden, for example, increasing or any other opportunistic increases in your development pipeline, whether we moved throughout the latter half of 2010 and into 2011. That’s the first question. And secondly, could you give detail for us what you are getting out of the Red Lobster remodels? You know, the price that you are paying in terms of the 50 units that you are doing in fiscal ’10 and what kind of sales lift that you are getting for the remodeled units?
Clarence Otis: I’ll kick off on just the real estate side -- I mean, you’ve got two dynamics. The one that you described, so some real weakness in real estate prices, some good availability because of less competition for the sites. At the same time, you’ve got a lot of developments that are being deferred and so both of those things are going on, which informs our unit development. We do think we are getting some sites available in some places that typically it’s very difficult to get in, especially on the premium side and so you’ve seen us click up a little bit, Seasons 52, for example, that’s part of it. I think as we look to 2011, we do think the net of all of that is that we are likely to see more sites that are attractive rather than fewer across the entire portfolio, and so that’s our current outlook.
Andrew H. Madsen: And related to Red Lobster remodel, I don’t think we want to get into the absolute investment and absolute guest count lift but I would say that the results to date have been very encouraging. We think the remodel is contributing to a meaningful improvement in how current and lapsed users think about Red Lobster and use it and that the guest count lift has also been meaningful and both of those dimensions, guest image and guest behavior as it relates to traffic, are pretty close in parallel to what we saw at Rev Italia several years ago at Olive Garden, so it gives us a lot of confidence to move forward.
Operator: The next question comes from the line of Joe Fisher of Goldman Sachs.
Joe Fisher - Goldman Sachs: Good morning, just a quick one for Brad -- I was wondering, I apologize if I missed it, if you could help us understand the impact from the 53rd week, or the 14th week maybe is the right way to say it, on fourth quarter restaurant level margins.
Brad Richmond: No, I don’t think we went into that in any great detail but basically what happens with that is there’s really no leveraging at the food and beverage line or really at the labor line but there is at the restaurant expense line and so I believe that impact on basis points is around 30 to 40 basis points across all of our brands in this particular quarter is the benefit we get from that.
Joe Fisher - Goldman Sachs: Okay, that’s great. Thank you.
Operator: The next question comes from the line of Joseph Buckley of Banc of America.
Joseph Buckley - Banc of America: Thank you. With respect to Red Lobster, same-store sales down just very, very slightly in the quarter. You mentioned quick catch -- I’m curious if the lunch business picked up significantly in that better Red Lobster performance in the quarter?
Clarence Otis: Yeah, it did and we think that Lunch is a meaningful business building opportunity long-term for Red Lobster, both to build sales and to leverage fixed costs and strengthen unit economics, so it was a significant positive for lunch.
Joseph Buckley - Banc of America: Okay, and then a question -- I know you are not in the business of giving quarterly guidance but year ago the first quarter was pretty disappointing and it sets up a pretty easy compare going forward, and I guess I’m curious if you would agree with that assessment or if there’s anything unusual about the quarter. I mean, I think a year ago, you started the quarter with some pretty aggressive same-store sales assumptions, ended up guiding down late August, early September -- are you assuming that flat to down 2 kind of holds in the first quarter and what kind of margin --
Clarence Otis: Yeah. Joe, I would say on the first quarter for sure, you know, benefits from some real year-over-year declines in a lot of cost, and so if you think back to the first quarter last year, a lot of food commodity costs were pretty high and have come down significantly. Energy costs were very high and have come down significantly and so certainly the first quarter benefits on the profitability side from that by a lot compared to the rest of the year. On the sales side, we had not yet gotten the effect that we had of the financial collapse and some of the real onset, the heavy onset of the depression, so it was a better environment first quarter last year than it was for much of the rest of the year, so you’ve got those two dynamics working I think is how we think about the quarter.
Joseph Buckley - Banc of America: Okay, and then just one more -- on food cost, how far into fiscal 2010 do you have visibility for food costs?
Clarence Otis: I would say the major components we had through the calendar year, there’s a few elements that go into the new calendar year, so the first half of them were of our fiscal year but as I mentioned in the prepared remarks, there’s also -- we’re trying to leave ourselves open to the opportunity that there may be some more continued erosion in prices, so we haven’t taken all the coverage that we would but we continue to monitor that and we’ll look for those opportunities. As we think about that, that last point, to the extent that we don’t see further declines, it’s likely to mean a better environment than we base our plan on in terms of top line, and so we are comfortable with that balance.
Operator: The next question comes from the line of Stephen Anderson of MKM Partners.
Stephen Anderson - MKM Partners: Good morning and congratulations on the year. Very quickly on Longhorn, I noticed that you started a $6.99 lunch special. I just wanted to get a little bit more color on that and I just want to see if that has -- if you envision that as having a similar effect on lunch as Red Lobster is having with its quick catch special?
Clarence Otis: At Longhorn, we’ve got on the current menu every day pricing, a range of items that are under $10, some as low as $6.99, so what you are referring to is probably just some local marketing efforts to communicate to people the fact that the everyday menu features a range of price points and some of them at $6.99. But we haven’t started a new lunch program or lunch promotion similar to what Red Lobster is doing.
Stephen Anderson - MKM Partners: Okay. Thank you.
Clarence Otis: We’ve got time for one more question, please.
Operator: The last question at this time will come from the line of Ms. Nicole Miller of Piper Jaffray. Please go ahead.
Rob Wyler - Piper Jaffray: This is Rob Wyler in for Nicole. A quick question for you guys -- you mentioned incremental Longhorn marketing spend in FY10 -- could you quantify how much better volumes were at the units receiving the media last year, as well as -- and also where the same-store sales was negative for those units?
Clarence Otis: We added probably 60 restaurants, maybe a little more than that, that were receiving media coverage and there was a meaningful out-performance, and there has been for several years in terms of the markets that are getting television and not getting television but we haven’t in the past disclosed what that difference is.
Rob Wyler - Piper Jaffray: Thank you.
Clarence Otis: Thanks for joining us today on the call this morning. We wish everybody a fun summer. We look forward to speaking with you again in September.
Operator: Ladies and gentlemen, that does conclude our conference call for today which will be available for replay from today at 10:30 a.m. until July 23rd, midnight of that day. You may access that conference by dialing 1-800-475-6701 and entering the access code 104662. If you happen to be dialing from an international location, please dial 320-365-3844 and enter the same access code, 104662. On behalf of today’s panel, I would like to thank you for your participation and thank you for using AT&T. Have a wonderful day. You may now disconnect.